Operator: Welcome to the Allied Motion Technologies Inc. Fourth Quarter and Year End 2016 Financial Results Conference Call. As a reminder, all participants are in listen-only-mode and the conference is being recorded. After the presentation, there will be an opportunity to ask question [Operator Instructions]. I would now like to turn the conference over to [Craig Mihaly], Investor Relations for Allied Motion Technologies. Please go ahead.
Unidentified Company Representative: Thank you, and good morning, everyone. We certainly appreciate your time today, as well your interest at Allied Motion Technologies. Joining me on the call are, Dick Warzala, our Chairman, President and CEO and Mike Leach our CFO. Mike will review our fourth quarter and full year 2016 results and provide an update on the Company's outlook and strategic progress. After that we'll open it for Q&A. You should have a copy of the financial results that we released yesterday after the market closed, and if not, you can find them on our Web site at alliedmotion.com. You will also find on the Web site, if you have not received them yet, the slide that accompanying today's discussion. If you are reviewing those slides, please turn to slide number two for the Safe Harbor statement. As you are aware, we may make some forward-looking statements on this call during the formal discussion, as well during the Q&A. These statements imply to future event that are subject to risks and uncertainties, as well as other factors that could cause the actual results to differ materially from what is stated on today's call. These risks and uncertainties and other factors are provided in the earnings release, as well as with other documents filed by the Company with the Securities and Exchange Commission. You can find these documents on our Web site or at sec.gov. I would also like to point out that during today's call we'll discuss some non-GAAP measures, which we believe will be useful of evaluating our performance. You should not consider the presentation and this additional information in isolation or as a substitute for results prepared in accordance with GAAP. We have provided reconciliations of non-GAAP to comparable GAAP measures in the table that accompany the earnings release. So with that, if you turn to slide three, I'll turn the call over to Dick to begin.
Dick Warzala: Thanks Craig, and welcome everyone, to our call. We made good progress in 2016 towards building the foundation and preparing Allied Motion for expansion and growth in the future; we integrated our Heidrive acquisition; dealt with certain challenges at our vehicle market; began low rate productions on certain project wins; and advanced the improvements being made to our information system. Revenue grew 9% in the quarter and 6% for the full year. Our growth was driven by the benefit of the Heidrive acquisition we made in January last year, as well as organic growth in a number of our markets, most notably in aerospace and defense, medical, and industrial/electronics. Weakness in the vehicle market dampened the growth through the program end-of-life and processing demand in certain applications. As a reminder, our vehicle market has a diverse set of sub-markets and applications, some of which have proven challenging in 2016. Our tremendous and continued growth is validated by the investments we are making in engineering and product development. Our IT infrastructure, including the installation of a global ERP system and the additions we have made to our sales and technical development teams. We increased E&D in 2016 included the investment in the development on standardized product platforms and creating customized motion solutions to meet current and emerging customer and markets specific need. Note that with the development of standard product platforms, we expect that the platforms will open broader channels to market, as well as provide building blocks to enhance our customized solution capabilities in the future. Our efforts are resulting in a growing pipeline of opportunities in a variety of applications, such as material handling, medical and industrial robotics, aerospace and defense, and in our vehicle markets. Our goal is to develop higher margin multi-product motion solutions, as well as diversify our customers and applications to reduce the impact a specific market of customer can have on our result. The investments in infrastructure, people, productivity and information management, also further our One Allied approach and increased our ability to leverage our AST toolkit to ensure continuous improvement throughout our Company. We improved our accounting and financial capabilities with the Hyperion implementation; hold on to new data analytics application to leverage our purchasing power; and successfully launched the new Web site to better meet the needs of our current business environment. In addition, we continue to implement our new ERP systems to provide the infrastructure necessary to support the planned growth of the Company. Now, there were certainly some challenges during the year; overall, we remain committed to focusing on the implementation of our long-term strategic critical issues to ensure we meet the long-term growth and profit objectives of our Company. In short, these initiatives include; the leveraging of our sales and technical resources to provide a more complete motion solution capability; the development of product platforms to meet the current and emerging needs of our served markets and customers; the build out of the necessary infrastructure to meet our growth objectives; the identification and successful completion of strategic acquisition; and last but not least, the utilization of our AST toolkit to continuously improve quality, delivery, cost and innovation in all aspects of our business. In addition, the refinancing of our debt measurably reduces interest expense and provides us financial flexibility for growth in the future. We cited 2017 in a good position with a strengthened balance sheet on value proposition that continues to be validated with each new win, and a significantly stronger infrastructure that we can leverage while continued growth and expansion as we move forward. With that, let me turn it over to Mike for the review of our financials. Mike?
Mike Leach: Thank you, Dick. Please refer to slide four, and note that our results include the acquisition of Heidrive acquired on January 12, 2016. Revenue increased 8.9% in the 2016 fourth quarter, driven by higher sales in the majority of markets, partially offset by lower sales to the vehicle market. Sales to U.S. customers were 51% of total sales for the quarter, compared with 65% in the same period last year. The increased mix in rest of world sales was from higher sales mostly in Europe with the addition of Heidrive. Full year revenue increased nearly 6% to $246 million, largely driven by the addition of Heidrive; and as Dick mentioned, growth in medical, aerospace and defense, and industrial/electronics markets. The impact of foreign currency exchange fluctuations was nominal on results. Please turn to slide five, gross profit for the quarter included $780,000 adjustment to correct an accounting error for certain intercompany sales. The adjustment was retroactively applied to the first three quarters of 2016, and the revised impacts are provided in the table with the earnings release. The impact to 2015 was immaterial. The increase in operating expenses for the quarter and year-end was primarily due to the addition of Heidrive and growth-driving investments in sales and technical resources, systems and E&D. As a percent of sales, E&D was 7.2% for the quarter and 6.6% for the full year period. Looking to slide six, we use adjusted EBITDA as an internal metric and believe it is useful in determining our progress and operating performance. This is a non-GAAP measure. So as Craig mentioned, please review our reconciliation and related disclosure in our release and at the end of the slides. For the fourth quarter, adjusted EBITDA increased 5% to $5.8 million. Full year adjusted EBITDA was $30.5 million, slightly lower than 2015 with a margin of 12.4%, down 100 basis points year-over-year. The effective tax rate during the fourth quarter was 24.5%, lower than statutory rates due to a discrete tax benefit associated with stock compensation expense and also differences in foreign tax rates. Net income for the quarter was consistent at $0.7 million, which reflects higher deferred costs related to the deferred refinancing completed in the fourth quarter. The full year 2016 effective tax rate was 29.1%, and we expect our full year 2017 tax rate to range between 29% and 32%. Net income for 2016 declined from $11.1 million to $9.1 million. Turning to slide seven, for an overview of our balance sheet and cash generation. We ended the year with a cash balance of $15.5 million compared with $21.3 million at the end of 2015. Cash balances were reduced from year-end because we use cash to fund approximately half of the Heidrive acquisition from cash on hand in our European operation. During the fourth quarter, we increased cash by approximately $3 million. Inventory turns were 4.3 times at year-end compared with 4.9 at year-end 2015. Our DSO was 44 days at year-end 2016 consistent with the year-end 2015. Cash generated from operations in 2016 was $14.3 million, and total expenditure was $5.2 million. We expect somewhat similar level of CapEx in fiscal 2017. Total debt was $71.4 million at the end of December compared with $67.4 million at the end of 2015. Debt, net of cash, at year end was $55.9 million or 43.6% of net debt to capitalization. We previously discussed our new debt facility that was completed in the fourth quarter. Slide eight provides an overview. The new $125 million facility was used to redeem the $30 million or 2.5% senior subordinated notes due in 2019, and we paid $40.5 million outstanding on the Company's previously existing revolver credit facility and term loan. Assuming a weighted average interest rate of 3.1% and effective tax rate of 31.5%, annual interest savings after tax is expected to be approximately $2.2 million or $0.24 per diluted share. Our new credit facility considerably reduces our interest expense and increases our ability to support organic and acquisitive growth. Our borrowing capacity was expanded by more than 50% and the new facility includes an accordion feature, allowing expansion up to $175 million. I'll now turn the call back over to Dick.
Dick Warzala: Thank you, Mike. We’ll now turn to slide nine, which shows our orders and backlog trend. Orders for the quarter were $56.5 million, down from $59.1 million for the trailing third quarter, and up from $54.2 million in the fourth quarter of last year. On an annual basis, orders were up 8% to $150.4 million. Backlog of $78.6 million was about $8 million up from last year. The year-over-year increase in orders and backlog were primarily due to the addition of Heidrive. For 2017, we are firmly committed to executing our strategy through the implementation of our long-term strategic critical issues, while at the same time, making the necessary adjustments to address and exploit the short-term challenges and opportunities of our current environment. Our primary focus is at generating growth through continued product development, gaining new customers, winning market share, and by expanding the market penetration for the Motion Solutions' capabilities offered by our Company. We prioritize our sales and product development efforts, and have a methodical approach to identifying market opportunities that will enhance our ability to succeed. At the same time, we continue to further develop and promote our brand, and build on extended products platform to open a broader distribution channel and enhance our sales growth opportunities in the future. We have several new multi-product motion control solution win that will ramp up in 2017 and '18, and beyond. And we have a very active pipeline of new opportunities, where we believe our integrated solution capability provides us with a competitive advantage in our served markets. Our global ERP system implementation is a critical component of our One Allied approach to the market. We continue to advance and are on track to complete the current implementation plan during 2018. We are always evaluating strategic acquisitions and we believe our strong cash generation and improved credit position puts us in a good position to quickly respond when the opportunity arises. Consistent with past access, we will not be to seduced and we will utilize our strategic filter to ensure that our selected acquisitions enhance the overall value of our Company. Over the long term, we are confident that our strategy to be a unique, customer-focused leading supplier of complete precision motion solutions in selected target markets will enable us to take market share and gain a greater scale, while more effectively leveraging the resources we have at our disposal today. And with that, operator, let’s open the line for questions.
Operator: We will now begin the question-and-answer session [Operator Instructions]. First question is from Greg Palm with Craig-Hallum Capital Group. Please go ahead.
Greg Palm: I want to start with a discussion on end-market exposure, and some of these awards that are going end of life. Maybe if you can provide some additional color on the weakness in Vehicle. Whether that’s certain end markets or applications? And obviously, given your exposure to certain consumer-oriented applications and products, are you seeing any pick up here in Q1 post election?
Dick Warzala: I wouldn’t say -- well, let’s address. You’ve got a couple different questions there, there a couple comments; number one, you mentioned end of life; you mentioned Vehicle; you mentioned consumer market. So, there are several items that we should probably address there. And if we talk about end of life, I think we’ve mentioned this before. The end of life in the programs was primarily in automotive applications, which will have a designated life. They usually go several years. And based upon vehicle changeover, once you get designed in, you’re in the vehicle. And then as it -- you know that it has a defined life cycle. So, we have been impacted by the end of life on a couple programs. And I will tell you that we are working on new programs in the same space that we are confident that we will see something very soon. And I think unlike best practice where we have not announced certain wins, I think is being asked for and we may choose to do so this year to at least give you some visibility in the wins that are occurring and the timing of when those can be expected. So, that will address the, we’ll call it, the consumer/automotive program end of life. And I think the second part is, you’ve asked about, some of the wins that we’ve had. They’re across various markets; we’ve had wins in the vehicle markets; we’ve had wins in the aerospace and defense; we’ve had wins in industrial; and we’ve had wins in medical. So, these are -- and I’m not, when I’m talking about these, I am not necessarily just meaning just the -- I’ll say the everyday smaller ones. But these are programs that we’ve invested money in overtime, and continue to invest in. And we expect that they will be ramping up. And unfortunately, ramp-ups usually take longer than what the forecast indicate. But they are, we have been coming onboard in 2017, as we mentioned, 2017/18 and beyond and that’s the case. We have a longer-term visibility almost there. And again we may decide that, as you've been patient with us and bearing with us that we've talked about these investments and we’ve increased our investments that we may share some of these as we move forward here. Consumer markets, you are correct. There are certain consumer markets that had softness and due to some of the challenges we talked about, not specifically what markets and so forth. But yes, there are a few. And we recognized that we need to continue to focus on customer and market diversification, and that is part of our overall plan here. So, if there’s anything in there, Greg, please -- I think I addressed the three of the comments or questions that you had.
Greg Palm: Maybe a few just sort of follow-ups to that. Are you seeing any change in pick up and demand or maybe a stabilization, post election?
Dick Warzala: I would say more stabilization. And I would say also that the signs are encouraging. While we’re meeting with customers, there seems to be more enthusiasm about the future, which I would also say through 2016, was really dampened. We thought earlier in the year that it would pick up in the later part of the year, and we did not see that happen. And we continue to see some reshuffling of schedules but overall, more stabilization. Now, whether that's -- we’re going to see demand go back to previous levels and stabilize at lower level, I think it's going to take a little bit more time for us to be able to determine that.
Greg Palm: And I know I think any additional color that you can provide on some of these new wins would be extremely helpful in the future. But anyway to quantify the impact from some of these end of life awards, and then obviously the related impact to some of the new program wins. Is it an offset or the new program win substantially more in revenue than what's going end of life? I mean any color there would be helpful.
Dick Warzala: End of life, we’ve actually experienced the end of life already. So, anything that we pick up will be incremental or new. In our numbers, we've experienced the end of life impact of a couple of programs. And the start-up and ramp-up of the new programs, you get the award, but unfortunately it does take, I’ll say, one to two years before you see it ramp-up to full level. When they ramp-up they will be at an increased level beyond what we experienced before end of life. So, as we go through the cycles here, I can try to explain that in different ways. So what we’re experiencing today is end of the life on a couple of programs, has reduced our revenue stream and the new programs that will kick in will exceed the revenue stream we saw prior to the end of life.
Greg Palm: And I know you don’t generally guide. But you certainly are building out the cost structure, whether that's IT, sales, E&D to support some of this planned future growth that you've been talking about. But can you give us, maybe a sense on timing, whether this ramp up really occurs through this year or whether it's more of an '18 event where you maybe start to generate organic growth again?
Dick Warzala: Interestingly enough as you listen to our comments here, Mike and I both commented on it, is that we do have organic growth in several markets. And we've been impacted in couple of markets, which is offset that in the top-line numbers. So, we are looking as the new programs ramp up, as I mentioned. They'll take time, but they are in excess of what the prior levels were. And as far as giving you guidance on the timing and so forth, I would say to you, we will see ramping going on in 2017 and into 2018 and beyond. And the reason why I say beyond is that we have several new programs, it's not just one or two, several new programs that are come into life, and we've been awarded and are being ramped up. And I think we are talking internally about how to address this and give you a little bit more color. So that when these do occur, we're going to at least provide you with a few more details, and you can start to look out and say, okay, the time is when they’re going to have, and not necessarily specifics. We do, for competitive reasons we do want to protect this information as much as possible. But I do think it's fair to expect that somewhere down the road we can give you a little bit more color around that. But for now, let's just say that we come online in 2017 into 2018 and beyond, and there are some pretty exciting new projects here that we've been awarded and are in the process of finalize it.
Greg Palm: Let me maybe ask it in one different way. I mean would you be disappointed if you didn't grow revenues in fiscal year '17 versus fiscal year '16? Just trying to get a sense of, again what the impact is from some of this newer stuff that just starts to ramp up here.
Dick Warzala: Absolutely be disappointed if we didn't --if 2017 wasn't better than 2016. And I think we'll get a real good handle on it in the first half of the year, whether or not the markets are truly growing and will sustain the growth that we hear from some of our customers at this point.
Greg Palm: Last one from me, just in terms of M&A any update here. What's your sense of opportunity pipeline out there right now as you talk to companies and what not?
Dick Warzala: I think, we're working on several projects and we always keep an active pipeline. Those are, again, so hard to predict. Our approach has always been that we build a relationship, a strong relationship and it takes time to do that. And when the timing is right for both parties, the acquisition occurs. So, there are things out there. There are things that we're working on. And if I told you that we could secure something tomorrow, I think I'd be very cautious of anything in that regard because it's, as you know, there are so many factors that come into play on acquisitions and you think you're at the finish line and right at the last moment it can be stopped and pulled out from under you. So I hesitate to talk about and pre-announce that yes we're close or we're ready or anything like that, all I can say is that we're active and we're more active than we've been in the past and I am confident that the right opportunities will present themselves for us to complete a deal in keeping with what we've done in the past, making sure that it does truly add value and it meets our strategic go through so, it will happen, I just don't want to predict the timing.
Greg Palm: Okay, great, good luck going forward.
Dick Warzala: Thank you, Greg.
Operator: [Operator Instructions] The next question is from Michael McCroskey with Principal Securities, please go ahead.
Michael McCroskey: How you doing gentlemen?
Dick Warzala: How are you?
Michael McCroskey: Doing well, picking up from the 10-K well I'll let you comment, just on the engineering and development expenses, kind of interesting wording you used there in the increases in that area, quoting from the 10-K, continuation of a significant development project to meet future need targeted market for Allied Motion. Care to add some color?
Dick Warzala: Let's put it this way, we identified a market opportunity that something that we're currently in, in this case here we're talking about that. One of the changes that has occurred is that we are now developing through multiple units of our, multiple technologies, multiple motor technologies, electronic technologies, speed back et cetera, and non-gearing and where our approach is to take a complete or Allied right approach into integrated solution which we believe offers the market and/or customers some competitive advantage. It's significant, in this case here, that particular investment is one that we highlighted it is a significant investment and we believe has significant opportunities where we were, not only in the particular market that we were addressing it to, but also in some adjacent markets. We're making excellent progress, we've had a few successes, smart successes so far, we have indications that there will be bigger successes in the near future and we're going to continue to invest because we believe this is true incremental business for us and it’s truly, when we talked about changing the game, we have certain technology that we've added to our integrated solution that does change the game for our customer in our market and what is adding their [indiscernible] apply for. So it’s why we made this, why we continue to make the investment and we're quite excited about it because we're on track, there are new regulatory -- in vehicle areas, I will tell you it's in the vehicle area, many different type of vehicle, but I will tell you there is some regulatory requirements that are coming on board and we're addressing the future needs of those markets. So that's probably all I want to say at this point Michael, but it's been ongoing here and we ramped up the investment and we’re working across company lines. And I’m very pleased with how it’s starting to unfold here for us now.
Michael McCroskey: Appreciate that very much and again as always appreciate you’re always keeping the eye on the long term. I think that’s going to yield the best successes.
Dick Warzala: Thank you. We appreciate your support.
Operator: The next question comes from Jeff Geygan with Global Value Investment Corp. Please go ahead.
Jeffrey Geygan: Dick, you mentioned that you are, in fact, seeing organic growth in some markets. What markets would that be?
Dick Warzala: We’ve seen organic growth in medical, aerospace and defense and our, what we call, industrial/electronics.
Jeffrey Geygan: And by organic, that year-over-year could be going from 100 to 101, can you put any color on the scale in terms of organic?
Dick Warzala: Yeah, they vary by market, but I will say let’s call it single digits in all of those.
Jeffrey Geygan: High-single digits, low-single digits?
Dick Warzala: Yes, yes. The answer is yes. Some low, some high.
Jeffrey Geygan: You mentioned earlier that you’re challenged in the vehicle markets, and some of the -- you experienced some end-of-life project in ‘16. Do we have any end-of-life projects for vehicle, other markets that will affect us in ‘17?
Dick Warzala: No.
Jeffrey Geygan: Your enthusiasm about the pipeline and the effectiveness of your EMD [ph] is noted. How as investors should we think about the impact of those initiatives and the costs associated going forward? And when will these likely bear fruit for us?
Dick Warzala: Yeah, as I was mentioning near the question that Michael had asked and we talked about in particular, where we highlighted out, I mean, we consciously took on some targeted development projects that we looked at markets rather than individual customers. Our company in the past is made up of through acquisition, it was focused more on customer-specific solutions and less on market-based solutions. And as we’re -- and that’s fine, and that does design you in and lock you in with those certain customers for the life of the application, let’s call it and for next generations. We felt that there were certain opportunities that had market potential and looking at markets and could we make a change in the market with the solutions that were being offered today versus what could be offered through the future of our technology as we mentioned, integrated solutions. It’s a complex process at times to where you have multiple units with different engineering groups to bring them together, to get them coordinated, to focus on a market-based solution that’s going to take few years or several years to develop. Again, as these are a group of small companies focused on customer-specific solutions, they can see the results of that very quickly, but more of the market-based solution takes a little bit longer for you -- to bring it to market, to penetrate into market and then to develop a group of customers, not just one. So I would say to you, I mentioned that we may decide to discuss and to announce certain things as they are secured, give it some timing, not necessarily the specific applications in markets, but that's something we talk about internally. I think it's excellent for you as the shareholder to be looking at this and saying that we are evolving from a one-off customer specific solution provider to a greater larger market based solution provider. We're building platforms that can be leveraged across many times in multiple markets and applications and I think that's part of the evolution of the company. We put together a nice mix of solutions that are integrated in terms of multiple products not just one product solutions or customized and that's always our question today, is as we evolve from just a motor producer to in electronics/electromechanical, let's call it system provider, that brings more value to our end customers and to the markets and we believe it can generate higher margins for us. So I think as the shareholder I would say that that's a positive and you know working on one-offs, lower volumes versus really approaching the market it gives us scale, it gives us a larger based of profile.
Jeffrey Geygan: Great. Is the Heidrive integration complete now?
Dick Warzala: No, it's not completed, its substantially completed in terms from the financial standpoint and financial reporting and so forth, matter of fact, we just completed last week where we brought a we called it Electromagnetic Motor Summit, we had this in Germany and it was led by a few individuals that are highly respected and regarded in the motor industry with great deal of experience than doctors and they were working together, we're working on leveraging the capabilities throughout the entire company and again coming up with what our next generation designs are going to be to compete in the long-term and the market. So I think Heidrive also brings a very, very strong technology, but they also bring a platform which lends itself well to the expansion of the distribution channels that I talked about. So in addition to looking at end markets the distribution channel which services many, many markets but through a while different set of selling channels the platform that Heidrive has is going to be launched this year into North America which essentially has had zero sales in North America prior to the state. So it's not complete, it's just beginning in my mind and I think the opportunity is that we will realized are going to expand we're seeing not only demand which in Europe, but we feel that we can penetrate into North America very well and also we are seeing demand in Asia.
Jeffrey Geygan: Two follow-ups to that number one with the continued integration will there be operating expense savings that will see on visibly on our income statement?
Dick Warzala: I don’t want to associate -- but maybe for clarity purposes disassociates your first question of Heidrive integration and operating expenses to the bigger picture of Allied Motion. And I think it's better it's more accurate to look at it in that regard. And I did mention in my conversation here in my discussion here in script that we're looking at our current challenges and where our opportunities, and we believe have opportunities to save cost. And we will be working on those initiatives this year.
Jeffrey Geygan: The second part of that question with respect to FX and dollar being strong versus the euro, Heidrive being the euro denominated business are you finding natural opportunity to manufacture or produce from Heidrive and export to the U.S.?
Dick Warzala: As I mentioned to you, Heidrive sales in the North America were virtually nothing. So we feel certainly that there is an opportunity to leverage that. that is a launch programs that's ongoing right now and we will be at a trade show in Chicago first week of April, trade show called Automate. You will see, if you were to go to that there is also new Allied Motion Video coming up that shows the capability of the entire company that will be -- it will debut at that show, plus that have our products we're bring there and a primary emphasis at the show will be the launch the Heimotion product line we called it Heimotion Servos and a lot of confusion, the name of the company is Heidrive, the product line, we give out product lines names and Heimotion Servo is product line, and it will be the launch for Heimotion Servos in North America.
Mike Leach: And again that is much more about a technological opportunity and then there was about a play on FX rates or anything like that Jeff.
Jeffrey Geygan: Alright. During the prepared comments you've talked about both customers and market diversification. What type of markets would you envision diversifying into?
Dick Warzala: I think what we've mentioned here is that vehicle represents more than 50% of our current sales, we believe there is strong opportunities in industrial markets and in automation markets. And one of the reasons we're at this show is because we believe that we have a capability that we have not necessarily been presented in the market in the proper manner, we're a motor company we're not recognized as solution provider yet. As I mentioned one-off solutions to specific customers, more than 50% of what sell includes more than one of our products, more than one technology. So it's more about leveraging what we've done already and bring it into market making the market aware of what we're doing. and again, I would tell you that there is opportunities for us, continued opportunities in medical, aerospace and defense. We have some good innovation going on in certain defense applications and we are -- the change or the conversion from hydraulic systems or electric hydraulic systems, we'll play in that, play in it very well. Medical we are -- we have a number of high performance products that has emphasis [ph] on fairly sophisticated applications. But we see medical instrumentation running globally. So we need to again participate in the global growth there. And then as I mentioned industrial, I'm a firm believer because we're in the marketplace and we see what it does, is we talk about manufacturing jobs and bringing back manufacturing to the U.S., well part of that process has been the automation process and the cost effectiveness on specialized robotics, as I say specialized robotics or anything that's automating a manual process from before are more cost effective. So that brings back a -- it brings a technical job back, rather than just a low skill labor or production labor job and I think you're going to see more and more of that and I think certainly that puts us in a position because of our capabilities to do a deeper penetration there, we can customize as well as build of a standard platform, so when we see industrial -- we classify industrial and we talk about industrial/electronics together, but you can consider them one and the same, the electronics we would be it’s in semiconductor or board handling or testing, things of that nature, that's electronics, but some companies call it all industrial. I will tell you that, I mentioned product line in industrial automation and industrial robots we believe we have a good opportunity there also. Demand in foreign markets, we're seeing demand in all area so not -- I'm saying vehicle is a large portion, and it will continue to be because anything that's driven whether manned or unmanned we'll consider a vehicle, whether it’s a material handling vehicle, whether it’s automobile, whether it’s a power sports device or whatever, so we call it vehicle, but we further sub-divide internally and the electrification of automotive markets or related markets, the trucks, the busses, the agricultural equipment, that's going to continue well into the future, and I would work well to take advantage of that. So the customer markets what we like to do is identify those markets where we see some future growth that might exceed normal market growth and what do we mean by normal market growth in our industry looking at the different studies that we see, the projection is anywhere from four to five to seven percent over the next three to five years. And we would like to be in a higher growth end of that by identifying those markets that we feel are going to you know exceed the normal or the regular standard market growth rates.
Jeffrey Geygan: When talking about migrations from a product associated sale in markets such as aerospace, medical, automation, et cetera, I believe and I think other shareholders expect to see margin improvement, how would you quantify in basis points potential margin improvement going forward?
Dick Warzala: We're looking at existing applications that we have in contracts and customers that we have today, when they are component based, it's hard unless you really look at each individual market because certain markets have higher margins than other markets. For example automotive is going to be a low margin business, the offset is that is the high-volume business. So when you start looking at gross profit margin versus an operating profit margin, those two can vary quite a bit. So I would tell you that there is also pressure that occurs, Jeff, as we're getting into larger markets. As the market is expanding and growing and the opportunities are growing, the volume goes up and it does bring in some increased competition. So I think it’s a challenge for you to continually look at what new markets that you can enter that can generate higher than expected, higher than normal or average margins. We are working on some of those. At the same time, we have to continue to stay focused on protecting what we already have. And sometimes there, there can be margin erosion if you don’t have a more cost-effective solution that you’re providing. So I would say to you that in a solution sale, looking at it from a distribution sale channel standpoint, typically, we could say that we’re looking at 3% to 4% to 5%, 5 point better margins in that area. And as we get into what we’ve already seen comparing our components to our solution subsets here, on new applications we see significant improvement than in double-digit improvement. That's not across the board, we have to be careful, as the volumes go up competition becomes more fierce and if we want to penetrate a market, then we’re going to be walking into a sandbox where the volumes are a little bit higher and we can expect more competition, and I would be remiss if I just left you with the understanding that all of them are going to be higher, not all of them. But there are some that you can cherry pick and certainly as you bring new technology market you could take advantage of, and certainly we will be looking forward to doing that.
Jeffrey Geygan: I would agree. And my closing comment and question, would be as follows, number one, I think all shareholders would appreciate any type of color that you can provide when you’re winning new business, not specifically the contract, the customer, but just some evidence that all of the time and effort that you’re committing and the successes that you’re having can be seen or foreshadowing improved economics of our business. I know having owned your shares for several years that you and your team are working very diligently, your message has been very, very consistent, regrettably, I see your shares today are trading down $3.50. And I think that would be somewhat disappointing to you and your team given all the time and effort that you’ve put into building this. The volumes a little bit higher than usual about 105,000 shares have traded today. What that tells me is that some number of your shareholders haven’t really heard or understood your message, your opportunity, the business that you’re building. And I would conclude that you have such a sharp selloff on the news that you've released today. So my final question would be, any reaction you have to your shareholders somewhat of a knee-jerk reaction to selling here and what message you might wish to communicate to them as a plea to don’t sell, this is the point to buy and I suspect that you and other members of your management team and our board might actually be in the open market making purchases in the near future based upon this knee-jerk response today?
Dick Warzala: Well, I guess, if we look at the market and we look how it responds to a quarter-by-quarter earnings result and so forth, I would say to you that, Michael [ph] who’s been a long-term shareholder as well as yourself, Jeff, he said, stick to the long term, we go through our cycles, but we've been successful on doing that and I think that's exactly what we are going to do here. So we have invested, we have invested in people and also the infrastructure to get us to the next level and I think it would be a shame of those who made their -- without fore-knowledge potentially made their investments without really understanding and the consistency of our message of been that we are investing, we're giving you a little bit more information and I think it's fair for ask for even more as secure the wins, which we certainly are considering and we mostly likely will do. I think that's all I can say, I know it's a free market, people use the information they have at hand and that much we can do other than do we're doing here, having a conference call, I'm not sure they're listening, they just read the numbers and it looks to them, when you get beneath the numbers is what you really have to see, and I think that's what you're asking us to do. So it's fair to ask and I think as we've been asked that by others and that's stuff we certainly are consideration.
Jeffrey Geygan: Thank you and again there is no good of evidence so commitment by management and Directors than going to the open market and folding with your dollars. Thank you and good luck.
Operator: This concludes the question-and-answer session. I would now like to turn the conference back over to management for any closing remarks.
Dick Warzala: Thank you, operator, and I thank everyone for participating in the call again and good questions have come out and we appreciate the support of our long-term investors and we just commit to you that we will continue to do what's in the best interest of our shareholders here, now and in the future. Thank you again look forward to talking to you next quarter.
Operator: This concludes today’s conference call. You may disconnect your line. Thank you for participating. Have a pleasant day.